Operator: Good day, ladies and gentlemen. And welcome to Rush Enterprises Second Quarter 2014 Earnings Results Conference Call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session, and instructions will be given at that time. (Operator Instructions) As a reminder, this conference call is being recorded. I would now like to hand conference over to Mr. Rusty Rush, Chairman, CEO and President. Sir, you may begin.
Rusty Rush: Good morning and welcome to our second quarter earnings release conference call. On the call today are Marty Naegelin, Executive Vice President; Steven Keller, Senior Vice President and Chief Financial Officer; Jay Hazelwood, Vice President and Controller, and Derrek Weaver, Senior Vice President, General Counsel and Secretary. Now, Steve will say a few words regarding forward-looking statements.
Steven Keller: Certain statements we will make today are considered forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. As these statements include risks and uncertainties, our actual results may differ materially from those expressed or implied by such forward-looking statements. Important factors that could cause actual results to differ materially from those expressed or implied by such forward-looking statements include, but are not limited to, those discussed in our annual report on Form 10-K for the year ended December 31st, 2013, and in our other filings with the Securities and Exchange Commission.
Rusty Rush: As you have already read in our news release, net income was 19.8 million or $0.14 per diluted share on gross revenues of 1.2 billion. In the aftermarket, our parts service and body shop revenues reached 331 million result of ongoing demand for vehicle maintenance and repair, additional activity from increased new truck sales and mobile service. Our absorption rate reached 120% this quarter, a 9% improvement over last quarter. With the harsher weather conditions now behind us, we were able to see results from our efforts to integrate and execute in our Navistar division and implement continuous improvement across all locations. We expect parts service and body shop revenues will remain strong through 2014. Moving to truck sales, we began to see retail sales improved in March and that trend continued throughout the quarter for both our heavy and medium-duty segments. Our class 8 new truck delivery significantly outpace the market this quarter, with market share climbing to record 6.5% of U.S. class 8 retail sales. In particular sales of class 8 stock truck increased primary to smaller locations of leads and an independent operators working in energy, construction and Refuse. Larger fleets continue to replace aging equipment were tapered by the driver shortage in the higher cost to equipment. Our class 4-7 new truck deliveries also significantly outpaced the medium duty market, accounting for the record 5.7% U.S. market share. With improvements in housing and road constructions, sales from our large inventory of ready-to-roll trucks increased this medium duty vocational fleets needed fast delivery of vocational equipment. Medium sales for this quarter were also driven by activity in the food and beverage and school bus segments. ACT Research increased its 2014 forecast of U. S. Class 8 retail sales to reach 226,900 units, up 21% over 2013 and forecasts U.S. Class 4-7 retail sales to be at 196,500, up 9% over last year. We believe growth in the economy and improvements in freight movement will continue to have a positive impact on truck sales in the third quarter. In the area of strategic growth, we completed an agreement with 3M in May introduced a portfolio of compressed natural gas fuel systems for use in Class 6-8 vehicles. The Agreement allows us the engineer, manufacture, install, distribute and provide aftermarket support for these fuel systems using 3M CNG tank technology. An initial investment of $2 million was made this quarter resulting in 1.2 million reduction in net income or $0.03 per diluted share. We will continue to incur expenses as we ramp up to introduce our new CNG fuel systems next spring. We also acquire certain assets of Truck Parts Depot which now operates as a parts and service location for our international division in Gainesville, Georgia and we continue to expand our service network capabilities across the country with more than 70 million in capital investments allocated through construction, renovation and building expansion. Finally and most importantly I want to say thank you to all our employees with their ongoing contributions and congratulate them on helping the company to set new performance records this quarter. With that, I will take your questions.
Operator: Thank you. (Operator Instructions). And our first question comes from Brad Delco from Stephens, your line is open please go ahead.
Brad Delco – Stephens: Good morning Rush, good morning gentlemen.
Rusty Rush: Good morning, Brad.
Brad Delco – Stephens: Rusty congrats, it’s a good quarter. My first question…
Rusty Rush: I guess (inaudible) thanks, go ahead Brand.
Brad Delco – Stephens: The market share numbers really sort of which tuck out that combined with the margin performance on truck sales, is there any way to parse out what percent of that market share came from some of these newer stores versus what you are seeing sort of on a same store sale basis in your existing markets?
Rusty Rush: Yes, let me pull back sheet here Brad I have got same store – yes we on class-8 same store, let me pull that sheet, class-8 same store like quarter to quarter it was about a thousand units, it came from both basically, so basically most of the growth in class-8 came on the same store basis.
Brad Delco – Stephens: Okay.
Rusty Rush: I mean, well…
Brad Delco – Stephens: Well you picked up a bit…
Rusty Rush: Excuse me that’s year to year, I apologize that’s Q2 of last year I believe.
Steven Keller: Are you asking sequentially Brad or you are asking…
Brad Delco – Stephens: Year over year.
Steven Keller: No, that’s the year over year, about a thousand from same store and little less than 500 from the stores.
Brad Delco – Stephens: Okay, got you. That’s great color. And then Rusty you have given some pretty good color on 3Q but anything more specific in terms of what is in your backlog, what you expect class-8 truck sales to do sequentially, the medium duty numbers are really strong, I mean what sort of some guidepost that you are expecting for 3Q?
Rusty Rush: Well, I guess the best way to look at it I guess when you look at when 3Q comes out, I think you will see our backlog, our backlog increased substantially from December 31 to March 31 and it will be up slightly probably 6% to 7% from the end of Q1 to the end of Q2. So I have already give you a little flavor, I think the important thing I guess someone will do as usually do ramble little here, I think the important thing about the whole quarter when you look at it, we think it was broad based. I can look back on different years where we have had big-big energy years or big fleet years and things like that but it was very broad-based which is nice to see from my prospective because we were very-very hard in making sure that we have a balanced approach to all market segments. So it’s nothing I can say was great but everything was good, everything was decent and good and when you add a bunch of decent and good up I was already talking about oil and gas to construction or fleet or small fleets owner or operator, Refuse, I mean that was just a lot of different markets that were good and I do expect may be some mix going forward. I don’t look for margins to remain quite that high, may be a little better volume with some fleet deliveries will have throughout the rest of the year but may be tempered some on the other side in equation but the good part is who knows I mean these markets, all these markets, should contain, hopefully ran strong too. We just had a real nice balanced quarter this last quarter.
Brad Delco – Stephens: Yes, you did and then I will ask one more question and get back in queue. Steve, SG&A line clearly you guys are making lot of investments, it seems like they are paying off, any sort of guidepost you can give us for 3Q as how we should expect that number to trend sequentially may be with some of the new items too related to the 3M investment?
Steven Keller: The 3M is, we are working on that (inaudible) now we have spend $2 million in Q2 and we probably expect to spend another five-ish to six-ish million dollars between now and next spring. We don’t know the exact flow although we have a lot of moving pieces right now from getting things ready to go but there is certainly going to be G&A continuing on that project. What you also have and we have been talking about it for this year, as we told you were ramping up the SAP rollout and that added some G&A for 2014. That is in full effect right now on September 1st is our big drop where we accelerate the rollout to a lot of stores so we have a lot of people on the road training. We have fully ramped up all their trainers and employees and backfill personnel to address that, so you are going to continue to see G&A – it will be up in Q3 versus Q2 because of the rollout and probably will have additional businesses because Q3 is usually a strong quarter in the backend with any reclamations and things that go along with that but I would expect it to be in the ballpark of Q2.
Brad Delco – Stephens: Got you, well guys great color, great quarter. Thanks for giving the time.
Rusty Rush: Yes, I think when Steve was talking about the rollout of SAP I want to bring one more thing to light. We have completed all of Peterbilt stores and we had our first Navistar implementation back in June and with our accelerated rollout we hope that would all completed by March but we have completed all the Peterbilt and working on Navistar but this is going to come as a not a big bang theory but between now and the end of next March we are going to try and get all rolled out some.
Operator: Thank you. Our next question comes from John Barnes from RBC Capital Market. Your line is open, please go ahead sir.
John Barnes – RBC Capital Markets: Good morning and Rusty you have been very humble about these results, I think great results. In terms of kind of the outlook as well the absorption rate, you provided targets on that in the past, 120 in the quarter, can you just talk about – based on that and the trends you are seeing is that a new sustainable level and specially given and I am assuming you still have some new acquires stores that are not running at that rate level but you still got an opportunity to improve, so kind of what is your outlook especially given how quickly you hit the 120?
Rusty Rush: Hopefully when I said reserve that we can maintain close to 120 rest of the year obviously Q1 is a difficult quarter so we are not going there but for the rest of this year I am hopeful that we could maintain within a couple of points to that if not, I mean somewhere in that range. You start nailing down the percentage point one by one I guess it’s a little difficult but it’s now standing quarter where I see nothing, I see nothing so far in the month of July, they say it’s going to go the other directions. There will be a little bit more holidays that will be involved, there will we could end up few less working days in Q4 and things like that but I hope we would be able to maintain our abilities to stay close to that number, the rest of the years. The new stores we are hoping to continue to get our processes, to your point a minute ago in our way of doing business into them and raise their contribution even they help the deal with some minor headwinds that we have but so far there is nothing that I see it’s going to talking or impact that negatively down to 110 or something like that, somewhere close to that.
John Barnes – RBC Capital Markets: Okay, alright, very good, there was some commentary recently the Navistar is finally started to shipping some medium duty equipment with the SER engine, do you foresee that as being may be another stairs up increase in medium duty truck sales, now they are coming and giving some of these engine issues resolved in the special to medium duty front?
Rusty Rush: Sure, I would hope so, so we can get to more normalized historical market shares for them because you look at where that the best market share was last year I mean again that some of and I am not sure about the exact timeline of total acceptance and getting the end-markets but obviously it will have a positive impact and when you look at the organization, I think I started the year by saying in the last (inaudible) there is a few things that we have on the horizon, if we can get some fleet purchases and you can bring back some small business and you can bring back oil and gas and nothing in 2013, nothing great but just something and then you get some construction going on and we still have – in my mind plenty of upside lift and that was for our market share. Now that timeline, I can't exactly tell you what the time line is we continue to, especially on the heavy side continue to work with the overhead on the old EGR engines but everyday that goes by, the day is in the right direction and to getting our market share back where they historically belong. So on both side, on medium and eight, so I mean talking about next year, you look order projects for housing starts that should work fairly well for the construction business for us on this side from the buyer side, so there is still some good stuff but as I said earlier things are decent, things are good in a lot of very markets but nothing super-super great over the top and historical high for us. So I like the quarter. Okay?
John Barnes – RBC Capital Markets: Very good. And then the last thing, I recognized that Steve what you said about you are still working on the business plan with 3M but just, in general to start with, you have given us some idea on the cost and $5 million or $6 million of additional cost between now and next spring but can you at least kind of pinpoint when you think you will at least generate a dollar revenue from this, I mean is that a back half ’15 type of in or more like ’16 event?
Rusty Rush: No, you answered your question. So back half of’15. We introduced late spring, that’s going to be hard really but he never put some dollars in there but nothing really comes sequentially and keep it to the next year, f it everything works on our timeline that’s what we anticipate, I see nothing so far. We have been working very-very hard, we are paired up with their technology and we are assisting with Ross Engineering and ourselves and we just got the facility and we are working really right now in total design phase and we are about to completing that and we are very-very excited about the project, I am telling you and as I told people before, we – you got to remember we were 15% of the natural gas engine sold in United States in 2013 and given our play in that, it's I am not going to be on leading edge, I will say about lot of things we are going to be on that leading edge and every store we build, with natural gas retrofitted for it. I can't say how many separate buildings I am going to doing up or facilities, it must be 10 or 12 of them right now going on that we are fitting and areas that need where we have helped put product, we want to be there to service the customers, it's no different for me, we (inaudible)like we service everybody else. But that’s a for us it depends on who you talk to and where that market goes one day and I am a believer that by ’17 or ’18 we are 10% market share play.
John Barnes – RBC Capital Markets: Okay. Just for clarification, so you are putting these at your existing locations and your own standalone locations are you planning on selling these out to the third parties?
Rusty Rush: Of course. We will be – we have agreements that our systems will be for the U.S. and North America actually. So we have controlled that agreement and look forward to bringing that to market in the back half of next year but we will sale in the back half in the next year but the real play is in the ’16 ’17 and ’18 and I am just very excited about. It's all about solutions remember. If we can provide that market a total solution, not just the truck, not just this, not just service but provide fuel system which is highly critical in that business and in that industry, I am very excited about it for us going throughout the rest of this decade I can tell you that.
John Barnes – RBC Capital Markets: Very good. Again nice quarter. Thanks for your time, Rush.
Rusty Rush: Thank you very much.
Operator: Thank you. Our next question comes from Jamie Cook from Credit Suisse. Your line is open. Please go ahead.
Jamie Cook – Credit Suisse: I guess just a couple of follow-up questions, Rusty. I guess the thing that struck me in the quarter, you talked about the absorption, but that the parts and aftermarket represented 62% of profits versus -- I don't know, 61.5%, whatever the number was, in particular, given the strength that you saw on the new truck sales side. So, can you talk about how we should think about that level going forward? And then, I guess my second question is you talked about strength pretty broad based, whether it was oil and gas, construction, fleet, refuse, whatever. Can you rank order -- I know everything was good, but can you rank order which was the best versus which was, ..
Rusty Rush: Okay. Alright, well this may change quarter to quarter now.
Jamie Cook – Credit Suisse: That’s fine.
Rusty Rush: I am going to take the small independent, it's not non operator so much but the smaller underlying 10, 15, 20 truck person and total – and that’s going to be more general okay. And then I am going to say oil and gas maybe 2, fleet 3, rail or refuse will be there, excuse me, if that was all up there construction I think most of it still to come but maybe in the backlog more fleet in the backlog now. So those other sort of maybe highlighted that the small fleet guy which may show up again which might both pretty good may continue to show right, we are still seeing strength in quoting activity in that arena. So but lot of those deals are like all that medium duty stuff, like I have already told—ready to roll equipment and things like that somebody need five of these and we got them. And we have stuff already to go. So those sometimes are hard to forecast as far some of the larger orders and that was the strong strength in last quarter. So I think the construction and fleet will be stronger in the back half. Even though they were good, decent in the other but it was pretty close I mean it gets real hard for me to sit here because I don't have a broken down 512 of these and 496 sitting right here in front of me. They just all felt pretty good. Sometimes it’s hard to exact figure market exactly and by the way on your point on the 61.5%, 62% because I was proud of anything If that doesn’t show, the change in the organization go back to 2006, okay when we saw big truck deliveries, go check the numbers out and see if it is close to that back then. It wasn’t. That’s the shift the organization to a service organization just the sales organization that we service customers first then we sell trucks because that’s what keeps them up and running the service after the fact and nothing points to it more than that. I don't know what the number is. (Inaudible) looking 2006 and see because I know what the delivery numbers were very high. I remember 3000 unit in Q4 of that year or better. So I really like to see that, to see the percentage of mix because I am telling you it's going to be probably 50 or less, probably 40. So that’s the shift in the organization stability I think on the long term earning stream of the company.
Jamie Cook – Credit Suisse: Okay, and then I guess just a follow-up, just on the pricing front. I know it is always challenging, the OEs are taking production up, so you are balancing that between trying to increase price. But as we approach the back half of the year, do you see more of an appetite from customers to accept price increases or do you think still the market isn't strong enough, tight enough, that the pricing environment is still going to be somewhat challenging?
Rusty Rush: I expect to remain somewhat challenging maybe not as challenging as it was. I don't think so but somewhat challenging because you are very smart obviously there is production and then balance between ramp in production and filling those slot and that’s what fix pricing. So with demand it all add together. So it remain somewhat challenging Jamie not as challenging, okay as it was a year ago. But so there might be little room for (inaudible)but I don't know how much I mean customers are still I mean backlogs are built out but there is no question about that, backlogs are further out. But backlog frequent production ramps up. So I think a lot will depend on if they do ramp up production and you probably know more about that than I do. So if they don't ramp production up then I think that would both pricing to be a little – they might get little price for but if they production goes up, then that will tamper that little bit.
Jamie Cook – Credit Suisse: Alright. Thanks I will get to queue. Congrats.
Rusty Rush: Thank you, Jamie.
Operator: Thank you. Our next question comes from Andrew Obin of Bank of America Merrill Lynch. Your line is open. Please go ahead.
Andrew Obin - Bank of America Merrill Lynch: Great quarter. Congratulations. It seems like the team has done a lot of hard work to get here. Just a question on parts and services, can you -- first question is, can you break out for us how much of the year-over-year growth was organic and how much has to do with the acquisitions that you have made? And the second question, as I look at your gross margin, right, it seems that it is a step down versus historical and also versus where we were last year. And I understand that you are changing the business model, but the question I have for you, should we expect continuing evolution of the service business and does that mean that there is some trade-off between growth and margin, i.e., yes, you're getting better growth, but as you change the business model, gross margin is coming down a little bit? Thank you.
Rusty Rush: Sure Andrew. Same store growth and parts of services year-over-year quarter-to-quarter and Q2-to-Q2 is 8.3%.
Andrew Obin – Bank of America Merrill Lynch: Okay.
Rusty Rush: Alright now the margin question. Yes, you can possibly expect I think I talked about it last time, slight margin deterioration. A lot of it may have to deal with mix and not just apart to the service mix, we are finding it maybe there is some times more parts sales to the stores that we acquire, maybe they don’t have all the mobile trucks we have remember when you do more service, it’s more labor intensive than it is, they don’t have as many outside technicians in both shops, remember I have got over 300 mobile trucks mainly in the Peterbilt business and 150 offsite technicians and probably a hundred of those in Peterbilt business. So those tend to breed more service and bring more service labor than they do part sales, right? So you don’t have that inside the Navistar business and as we bring those in the Navistar store tends to have more part sales than it does service business it seems like and which the service business has more margin in parts, so your mix changes. I would expect that we will be able to maintain somewhere between close to 35 this quarter and we have told people 36 putting your accuracy between 35 and at a high point of 37, if we are able get enough service business and with the outside service business and into the Navistar so its somewhere between that 35 and 37, I don’t anticipate being able to give to 40 but sometimes we are going after, you can't do, it’s a customer mix issue. Customers continuing because always we continue to, we take care of all the small everyone but at the same time we might have to discount more of some of these big guys to make sense out of it, some of these big fleets and that’s what we are doing. I’ve got some great stories from the last quarter, even with some of the large over the road flicks that I put technicians in shops, okay and I discounting? You don’t believe I am what it’s still growth and that shows up in absorption number at the end of the day and that’s the number I care about more than anything else I’m not driven by margins, these margins to help manage business but I don’t think is run by the business.
Andrew Obin – Bank of America Merrill Lynch: But do you think as you, quote, unquote, I guess, industrialize your parts and service business that the margins continue to drift into the low 30s or do you think 35 is where they could settle?
Rusty Rush: No, I think settle to 35.
Andrew Obin – Bank of America Merrill Lynch: Thank you very much, congratulations.
Rusty Rush: Thanks.
Operator: Thank you. Our next question comes from Bill Armstrong from C.L. King & Associates, your line is open, please go ahead.
Bill Armstrong – C.L. King & Associates: Good morning Rusty, I’ve also a margin question as this one related to the lease and rental historically it’s been that kind of 14%-15% range and your last two quarters 12%-13% what’s driving that and what should be kind of model that going forward?
Rusty Rush: Okay. As we acquired a lot of new lease locations with these acquisitions last years, okay. Specially the one at the first of the year and there margins were not up to our standards, I will say that, okay so this will be a continuing evolution as we rolled those over units out bringing new units in and whole fleet to go after the customer basis is we’re looking forward, okay that we historically have had inside of other lease business. So Bill overtime those margins will come back, okay. We are not going to manage to those margins my friend over the time. So that one unlike Andrew’s question I am going to say, it is going to back up, okay. Remember, you are inheriting a book of business, right?
Bill Armstrong – C.L. King & Associates: Right.
Rusty Rush: You didn’t book that business yourself. So you just have to work your way through it and that’s the answer simply but they are good markets, we are happy to be there and look forward to doing well in the near future.
Bill Armstrong – C.L. King & Associates: Understood. And on the CNG fuel systems, so maybe you could describe for us laypeople how these systems are more attractive to fleet operators than existing systems? In other words, why are you putting -- you're backing this horse. What's the pitch for customers?
Rusty Rush: Well, what’s the pitch for customers? First up may be understand that market, there’s one group that’s an 85% player in that market. It’s an emerging market. It’s been pretty heavily and it has lots of customer touch in many areas throughout our sales business, our lease business and service business. We believe getting it at this level is the right thing to do. Why do you some -- the biggest problem for people getting into the natural business historically over the last getting over it and ramping in the faster has been twofold infrastructure which I think is being taken care of, gradually getting taken care of but nobody else and cost, cap cost to the equipment and the fuelling system well is a very large piece of that cost, okay and we’ve viewed it as a market that we had dabbled in, we’ve used it as a market that we felt we could bring some advantages to customers with technology, with lighter tanks, with more capacity, with 3M’s designs and engineering and with Roush’s engineering and with our network to service that nobody can touch. And there’s own standalone business to go with it but leveraging all of our network that we thought we could bring to that market something that I think is going to be a growing market, it’s not going to replace diesel, I’m not telling you that but what it is, is going to be a growing and emerging for certain market segments for sure. I’m not saying this is going to be for everybody but the market segment that we believe it will grow into, we believe that between the three of us especially between 3M and ourselves that we are super-excited I don’t think anybody has got, what we have to offer. I’m telling you from an aftermarket support, nobody will touch us. And remember it’s about keeping product up and running in and I can pay one of the issues with these stuffs some times, if keep it up and running and the other competition does not have the service network then come close, boss I’ve got a broader service network and dealers in all kind of – I’ve got all kinds of things going and I just think that we’ve been in the I don’t know if you are familiar with our CDS operations we’ve been updating trucks for oil & gas or everything construction and building things from on time people sometimes don’t understand who we are, the other guys we just sell class-8 truck and this just continues to allow us to push more products and services and keep a customer up and running better than anybody else and that’s our goal, 2020 vision of total customer solution and this is just it’s right end of that market segment I know—we don’t probably along than anyone but I I hope you became as much, I’m only a (inaudible) remember that when this comes to this, oaky. So maybe (inaudible)
Steven Keller: So this is more cost effective to the customer satellite from the upfront, cost or…
Rusty Rush: It’s from a natural gas to, I’m not getting into the cost of dealing system. I’m not ready to get involved with that but I can promise you total cost and ownership of this but from us I think the range, I think the range there’s lot of technology that I’m going to get into on this call that we think we’ll get into, will provide the best fuel system out there in the marketplace to ___ support of everybody else.
Bill Armstrong – C.L. King & Associates: Hey, great. Thank you.
Operator: Our next question comes from Neil Frohnapple from Longbow Research. Your line is open, please go ahead.
Neil Frohnapple – Longbow Research: Hey guys, congrats on a great quarter.
Rusty Rush: Thanks Neil.
Neil Frohnapple – Longbow Research: Rusty understanding that you guys are on the tail under the chain from a new truck order, from a one of the new truck orders placed OEM production to delivery by you guys, I think you benefit much in Q2 from the pickup and that order’s the last six months or as the vast majority of those deliveries still yet to come for Rush. I know you mentioned backlogs are up 6-7% but just trying to get a sense for Q2 is in peak this year.
Rusty Rush: I couldn’t have that rant if I didn’t benefit from any of you. Yes I benefitted from it. Does it have a little I’m not here to tell you because there was a nice mix in there in this last quarter with the smaller stuff from there but yes, our backlog as you pointed out earlier, 6-7%. So we still have some legs in our backlog to continue where we’re at but I don’t want to get into margins and things like that because that maybe peak, okay? Because of the small customer mix-up was in there. Okay? There are maybe a large companies that I do business with or maybe flowing into the future here. So there maybe that’s just the way it is with different market segments. We had a lot of small stuff in the mix but that was part of the ramp up, okay? So it’s just different parts of the ramp up but I can’t sit here and rightfully tell you that we’re going to fall down, okay? Because it shouldn’t fall down in Q3. Okay?
Neil Frohnapple – Longbow Research: Great. Great. And then it looks like you guys moved to another net cash position again in 2Q14 even after all the investments and acquisitions you guys have completed the last 18 months. And then with the expectation of free cash flow and continue to add in the next cash position. How should we think about your priorities for use of cash via the investments you’re making on the CNG Fuel Systems and the expansion of your service network?
Rusty Rush: Our cash flow obviously was very nice when you consider some of the last quarter. When you consider some of the investments not just reams, some other things we’ve done probably real estate, $10 million of real estate cash. I mean I can think about 20 million out of a normal ordinary business that we spent cash on last quarter and we still pump 24 million or so. So it was a nice quarter and I don’t see that stopping. I will tell you this, you say so what are we going to do with it? Well I was going to tell you to make investments, there’s M&A right now which is good because when nothing on the horizon but you never know. But we’ve done a lot of construction going on and historically if you look at the organization we used to finance our real estate, in the last 4 years, we have been paying cash for the majoring of our real state. So and we will continue as we build new location. You realize we’re putting in, I think what you got, one of the things I don’t think anybody understands, the investments were fixing them. We’re fixing double, two and a half times size of Denver, Colorado. We’re more than doubling Columbus, Cincinnati, Cleveland. By the way, I think you’re from Cleveland right, Neil?
Neil Frohnapple – Longbow Research: I drove pass your guys dealership this morning actually.
Rusty Rush: The old one or the new one?
Neil Frohnapple – Longbow Research: Yes. It’s the new one going up right next to the old one.
Rusty Rush: There’s a new one going up yes. You’re correct. That would be first of all though. We’ve got a new one going up in San Antonio, Denver, Columbus, and Cincinnati. I’ve got construction going around Chicago. I got construction going in many areas right now, okay? We got a new building going up in Dallas. What you got to think about, think of all the extra bays. I’m not building office space. Yes I’m putting all those space in it but I’m building extra bays and the potential from a parts and services perspective in the future. Now when this place is open, remember, we do these kind of things. Absorption may drop but we’ll bring it back up and the revenue and the profit dollars will grow with that. Again, that’s where you use percentages to help you manager but not running your business, right? So when we do these kind of things, but long term I don’t even know, I was thinking. I was going to bed last night I thought when I talk tomorrow, I need to find out how many extra bays we’re adding right now. That’s a good question. How many extra bays in existing territories, which is not like we’re going to do any today, but in the roundabout way, you’re adding lots of opportunity … you follow me? To work on more trucks and do more things. So that’s an interesting thought. So I’m not sure. I think it’s well over 200 more bays being added. Okay? So that’s like doing an acquisition over the next 12 to 14 months, by the end of next year looks like because we never know with constructions.
Neil Frohnapple – Longbow Research: Well thanks so much for the call Rusty. We appreciate it.
Rusty Rush: One other thing though, we are continuing to repurchase shares. Okay?
Neil Frohnapple – Longbow Research: Got you.
Rusty Rush: We’re repurchasing as a, on a daily basis back on the b shares.
Neil Frohnapple – Longbow Research: Right. Thank you.
Operator: Thank you. Our next question comes from Art Hatfield from Raymond James. Your line is open, please go ahead.
Art Hatfield - Raymond James: Good morning. I got on 15 minutes late so I probably going to end up asking some stuff you guys may have covered in your comments but a couple of things, the classic retail sales from the quarter, market shares are very very strong, did you comment on where you think that could or should be going forward?
Rusty Rush: Well I’ve always said 6. I thought and better as Navistar’s market share comes back and I’m not going to change from that. I don’t know that I can maintain 6.5, I would hope I can maintain 6. But I could. We will see if the quarter unfolds. It’s back half of the a year which is not all by the quarter. So I would expect that when the year’s out, we should be over 6. Okay? I don’t see any reason we’re not going to be 6% of the market share. I’m not saying 7 yet. I say 7 in the future if we get Navistar’s market shares back to where it belongs.
Art Hatfield - Raymond James: Yes I understood but where were you at, I can’t remember where you’re at in Q1?
Rusty Rush: I think it was 6. It was 5,7. So we were a little bit high.
Art Hatfield - Raymond James: So your comment about being about 6 is for the full year?
Rusty Rush: Right. I would say we managed over 6. I’m not going to say 6.5for the full year. That means I’d have to pull some 6.8, 6.9 to do that. So …
Art Hatfield - Raymond James: I’m with you. I guess same question for medium duty sales as well. It seemed to be a little bit of where’s you’ve been historically there as well?
Rusty Rush: We were obviously 5 to 7 in the quarter. I’m looking for 5, okay?
Art Hatfield - Raymond James: Okay.
Rusty Rush: I’m looking for 5 for to 7 and again that has, if you go back the Navistar get back to historical margin, which again which they were used in 6 and 7 isn’t historically. And we were looking for that continue to drive up . All our medium duty franchise had been doing well. As I mentioned I made comments on all the manufacturers we represent. Everything was pretty broad-based. That’s all I can tell you.
Art Hatfield - Raymond James : Hey. Any thoughts kind of -- what numbers are you using right now for I can’t remember what ACT’s most recent number is?
Rusty Rush: I think it was in my release 226.
Art Hatfield - Raymond James: Right, that’s for this year but they said what ’15 as yet?
Rusty Rush: They’re saying 235 I think.
Rusty Rush: Okay.
Art Hatfield - Raymond James: Hopefully you’ll see your market share grow next year if and when Navistar comes back a little bit?
Rusty Rush: They’re coming back. Let’s not say if and when. I’m not going to use that terminology.
Art Hatfield - Raymond James: Okay well …
Rusty Rush: We’re going to be different on that one. Okay? We don’t have [inaudible] for if and when. Okay?
Art Hatfield - Raymond James: I understand that but I was just saying that being conservative in my thought process.
Rusty Rush: You should be. But I’m conservative but we went out and did all that last year before the uptake which I think is going to bode nicely for us by the way. With 35 stores and 6 acquisitions in 12.5 months before we got into the uptake this year, right? Should work out well for us. Yes but as their market share continues to climb which I’m not looking at it on a monthly basis. I’m going to look at it every six months. Okay? I’m not going to do that. I’m not going to run my business that way. But as it continues to climb which I am confident it will, there will be bubbles along the way on a monthly basis, people get all caught up in months and quarters and things like that, I’m on a longer term view. I take a little longer term view than others. As it continues to climb then the answer is yes, you’re correct.
Art Hatfield - Raymond James: So last question for you guys. Calculating in your SG&A lines, looking at G&A backing out the 3M’s stock. It looks like total of G&A is about $130 million. That’s I think the highest level you’ve had and a little bit of step-up from where you were. How can we, is that the right number going forward? How should we think about G&A kind of moving forward?
Rusty Rush: Remember, we’re in full run on that SAP stuff right now. We have hired all those people. When I said, remember when I said I will spend an extra $0.10, I didn’t exactly put it quarter by quarter but we’re full blow. In Q1 it wasn’t full but now it’s full-on because we just started bringing Navistar stores on in Q2 and we are ramped up with people. So that’s, maybe I said 10, maybe it was 1.5 but it’s 3.5 It’s probably isn’t closer to 12 when I said it was going to cost $0.10 but we’re going to get the system out and we’re going to get the right, I don’t really care what that is. That is a big contributor to it. But also we’re continuing to make investments in a lot of different ways. Let me talk about this costumer solution, customer service, call centers, telematics, all these things, we’re spending some money on it but I’m not - I think the results for the quarter speak themselves but those results that we have now speak for the investments we’ve made in the past and we’re not going to stop making investments. You got to trust us that we’re making the right investments to bring the right returns in the long run for our shareholders and understanding what customer’s needs are so there are a lot of things we’re doing maybe behind the scenes that are , that we don’t talk about. I didn’t mention our national phone call center for the whole country. We’re accelerating it as opposed to take longer. So there are things that we’re doing but yes, they cost a little money but we done that all along.
Art Hatfield - Raymond James: Now that’s fine. I’m just trying to get an understanding how you should think about it going forward so that being said …
Rusty Rush: The rest of this year, call it Q2?
Art Hatfield - Raymond James: Yes that’s fine but as we move forward though, like in the next year and beyond, if SAP kind of goes away?
Rusty Rush: If second quarter next year if SAP tails off? Yes. 
Art Hatfield - Raymond James: Well does that mean that we see a drop-off in G&A or will you kind of continue to step-up investments in other areas so the G&A will just stay at that level?
Rusty Rush: not a drop-off but a flattening. How’s that?
Art Hatfield - Raymond James: That’s a …
Rusty Rush: I’m going to continue. We’ve got other stuff on the drawing board right now that we’re working on outside of systems. I mean other kind of systems. Touched down just a second ago. I really don’t want to get too deep into you right now.
Art Hatfield - Raymond James: But we’re making good investments?
Rusty Rush: They’re continuing to leverage off this network and actually, I really want to build that network out a little bit more as we get into the next 6 to 12 months but we’ll just see where it goes.
Art Hatfield - Raymond James: Okay. That’s helpful. That’s all I got today. Thanks.
Rusty Rush: Thank you my friend.
Operator: Thank you and our next question comes from Kristine Kubacki from Avondale Partners. Your line is open. Please go ahead.
Kristine Kubacki – Avondale Partners: Hi. Good morning.
Rusty Rush: Hi Kristine, good morning.
Kristine Kubacki – Avondale Partners: You talked a little bit about market share for next year, and I'm just trying to get my arms around it, just a little hypothesize here. In terms of looking at the big fleets and even the smaller fleets, we have seen, obviously, with good tonnage and good freight rates, we're seeing a lot of people jump in and finally replace. And I guess as we think about 2015, though, the fleets are still really constrained by the driver situation and not adding capacity there. Do we have enough replacement needs, I guess, for the industry still going forward, in your view, to get an up year next year, specifically talking about Class 8?
Rusty Rush: Well let me back up, I was probably off this time. I will say I think (inaudible) start about ’14. ’14 obviously has accelerated stronger than I anticipated. When you look at order impact expect May or June like that and it was up over expectations. So, your point on driver shortage, no question, that’s the biggest thing I mean that’s big driver, big fleets that we have out there right now. It's the biggest issue they face. Can we continue it? I think we can continue at similar pace maybe not as a total year up, maybe not as just back half of the year, okay because the back half of the year is going to show if ACT is right over 126,000 to 127,000 unit, I don't know that you can add that together for the first half and next year on the second half mixture and call it 250. So I think you can do 225 again, yes. They are saying 235, I think it's sustainable at a total year look given I think there is going to be other markets to come in to play to help. And I do know that there are fleet still have to replace. There is a lot of guys who still want to (inaudible) I have talked to two recently, they still want to bring their average age down between now and end of next year especially if they have been able to get little rate for a change and it looks like that’s sustainable then I would look for them to go ahead and replace and I am not sure about growth again given the driver shortage but what that does allow is rate increase it allows other people to get into the business because they can make sense that is profitable and that makes pretty sense mine would say a year similar to this not at the rate of the second half for 250 plus rate plus retail.
Kristine Kubacki – Avondale Partners: That’s extremely helpful. I appreciate that color. And I am just wondering a little bit more on the oil and gas side. I know you talked about it. I guess is it can you kind of compare the interest or activity there from first quarter and then kind of through the quarter activity kind of ramp up and with that activity it's been a low, I just kind of want to see what our folks saying going forward or we kind of seeing replacement bump there as well then expected to kind of tail back off or are we seeing new activity in that end market.
Rusty Rush: Its just I mean I want to look at – looking at quarter-to-quarter stuff for me, I think it's been about the same. You remember in some of the stuff when we have orders for it, was earlier in the year and maybe when some of (inaudible) orders some orders we got in second quarter we are going to the third quarter. Then we will get in deliveries because there is a lot of (inaudible) goes truck to get ready a lot of times. But if you compare it year-to-year, obviously it's nothing like 11 or 12 or 13. 11 and 12 were huge years. 13 was a zero year almost. And this year is in the middle which is I think a lot of our market. So I don't see it falling all. I don't know if it's going to ramp. I don't think we are going to see 2012 again right now but I do believe that it is – I think it is sustainable but I have been grown and raised in Houston Texas, I have known a business for a long time. So just when I think, it's right. It changes but given the dynamics and the world and everything else that is going on right now, I find it hard to believe that we are going to stop seeing activity in the oil and gas business.
Kristine Kubacki – Avondale Partners: Okay. Well very good. Thank you very much. I appreciate the time.
Rusty Rush: You are welcome.
Operator: Thank you and our next question comes from Rhem Wood BB&T Capital Markets, your line is open please go ahead.
Rhem Wood - BB&T Capital Markets: Hi guys. I think most of my questions have been answered. Just a couple of numbers, could you give me the gross margin by vehicle class and class 8 medium-duty light-duties?
Rusty Rush: Class 8, 7.6, medium-duty 5.6, light-duty 5.5, used 10.7.
Rhem Wood - BB&T Capital Markets: Okay, thanks. And then, Rusty, just one more question on the -- if you go back to the absorption ratio, I understand the puts and takes, but you just did 9 points of improvement sequentially. It seems like that there is a lot of work left to do with these Navistar stores. Why couldn't that average 130% by year-end? I know you talked about keeping it flat, but it just seems like there's a lot of low-hanging fruit left there. Could you talk a little bit about that?
Rusty Rush: Yes. There is potential there. You got to remember all our other markets are extremely strong right now too. Can they remain as strong over a three year period? The good part is even they back off a little bit still with 112 or 115 our traditional markets. So the good part is there is room in certain territories of our Navistar business room improvement I can make one color comment that’s the fact that our Chicago Indy acquisition at the first year has performed outstanding when it comes to absorption, better than anyone we have ever taken on that side of the house. So we are very pleased with that. We think there is room for growth in some of the areas, the other areas we have taken on throughout last year. Now I don't want to pinpoint because these people are going to extremely hard are making progress and that’s the important part is if they are making progress then you got the – you keep trending in the right direction that you will get to – the company total is eventually. So is there upside (inaudible) nice three year strong economy, you get strong GDP 15 and 14 obviously we are going to finish strong and then 15 stays outside of any political things that happen. Yes there is (inaudible) probably over Navistar stores in my mind for sure. So and I think there is upside in certain areas of the country too. Obviously we have Texas has been strong for a while. I don't see that changing near Texas or Oklahoma area but no Florida I mean geographically I talk about balanced earlier, geographically we are talking about absorption. California store, Arizona I mean I could go across the board. They have – their performance is arisen in Florida I mean everywhere the performance is coming up and I think this is much about all our processes and the way we go to market and that’s what driving the whole traditional organization. But back to the other day, yes there is still room for improvement as we bring processes and improvement and bring mobile stuff and things like that to these new acquisition. So…
Rhem Wood - BB&T Capital Markets: Yes. Okay thanks. Good color keep up your work.
Rusty Rush: Thank you.
Operator: Thank you. At this time it is showing no further questions. I would like to hand the conference back over to management for closing remarks.
Rusty Rush: Okay. I appreciate talking everyone this morning and look forward talking to you in October with Q3 results. Thank you.
Operator: Ladies and gentlemen thank you for participating in today's conference. This concludes our conference. You may all disconnect now. Everyone have a good day.